Operator: Good morning, ladies and gentlemen, and welcome to the TUI AG Conference Call regarding Q1 results for the financial year 2023. [Operator Instructions] Let me now turn the floor over to your host, Sebastian Ebel and Mathias Kiep.
Sebastian Ebel: Good morning to everyone. I'm here with Mathias Kiep and Nicola and the IR team. And today is a very important day for us, our General Meeting, and we are very happy to start with you before we have the meeting. Q1, we have seen a good Q1 and with a significant increase in customers, 3.3 million, which is 1 million above prior year, which is 93% of the full year '19 levels. Q1 revenue increased even stronger by €1.4 billion to €3.8 billion, and the EBITDA is €153 million minus, which is almost half of the losses we had seen in prior year. It's not yet where we had been in '19, but we are on a good track to full recovery. Net debt around €5.3 billion, which is broadly in line with the prior year. We, of course, had after the strong summer season, we have supply -- pay our suppliers, and this is the effect there. The second effect was that bookings came in later. So as we have seen a very strong January, this brought us a significant cash inflow. There is an encouraging booking momentum across both seasons, but especially for summer. And we had seen a slightly weaker December, but a very strong January and the very strong February up to now with significantly being above pre-pandemic leverage with higher prices and record bookings in January online in both the U.K. and Germany. We are very proud that our science-based targets were validated a couple of days ago by SBTi. So we are the first integrated company with science-based targets for '23, which is, for us, a very important step, and we are very happy about that, and I will give you details later on. If you look at the different segments. We do see that the holiday experience is doing very well. Hotel & Resorts even improved their strong quarter 1 '22 results with good occupancy and a significant increase in the daily rate. The daily rate was able to offset all cost increases. On Cruise. Cruise, for the first time, breakeven level and with strong occupancies. Looking forward, we do see a strong momentum in bookings and occupancies are getting very close to historical heights. TUI Musement on the same level as the first quarter '22. TUI Musement has 2 main business: one, serving the TUI operator customers and there, the profitability is depending on the amount of customers we have. And second, on the customers they acquire on their own for their activity business. And we are very happy that, especially this part is growing significantly as this is not only important for the profitability for TUI Musement, but it's also very important to get customers into the TUI ecosystem, which have not been TUI customers before. So all in all, a very strong performance of holiday experience. On Markets & Airlines, we have seen a very good development in Central region, which includes not only Germany, but Switzerland, Austria and Poland, gaining significant market share. The first market where we introduced dynamic packaging, and we do see the positive momentum there. Western region, the only area where the losses increased. They increased because of 2 reasons. One, the situation around Amsterdam was very difficult in the first quarter, forced capacity reduction and therefore, competitors bringing their aircraft to Belgium. And we were affected by both things. We can say looking forward that Amsterdam is now performing by far better. And in Belgium, we were suffering till middle of January by not able to connect to the meter searches that we have introduced a new IT system. All these issues are now solved. Therefore, we are confident there as well. On the North region, €50 million less losses. We have seen a -- for the first time, a stable operation when it came to disruption. On the other hand, we were suffering from the situation that we were not able to hedge as early as our competitors. We're doing it, and we were hit quite significantly by the weak pound we had seen. Looking forward, we are now in a by far better position as we are getting more and more hedging lines in place. What are our strategic priorities? Just to recap from my former presentations, we want to grow market share to do things better in the market where we are. We want to bring more products, new products to our existing customers, and we want to gain new customers. Why is that so important? Because today, we are strong in the wholesale package with a significant double-digit market share, but we are not strong in the dynamic package. And you can see in all the markets that the dynamic packaging is a very significant part of the touristic sector, and it's the part which is growing stronger than the wholesale package and by introducing now dynamic packaging into all the markets, finally, till the end of the year, we want to participate there. There is no reason why TUI should not be as successful in dynamic packaging as we are in wholesale package. ECO-only and Flight-only are also the products we bring to the customers. And of course, the growth of TUI Musement product, experience, transfer activities is fueling also the future growth of TUI, and also will bring us new customers into the TUI ecosystem. By preparing for the growth opportunities, we focus on strong quality. We had the situation that during COVID, it was challenging to keep the high-quality standards we had pre-COVID. I'm happy to report that we are, in the recent times, reporting record customer satisfaction numbers, which is really important for us because we are a quality provider, and that's -- we are standing for. And secondly, we are seeing sustainability as an opportunity, not as a threat. That is the second functional pillar we are looking at. And of course, we will only achieve our targets with the winning team, which we have built and which we are growing. What are the latest -- what is our latest progress on our strategic initiatives? We have successful implemented dynamic packaging in Germany. We successfully launched Accommodation Only in Sweden. The Tour platform is rolled out in Belgium, and we are further developing our digital capabilities via the app. And as said, we introduced science-based targets for '23, which were validated by SBTi, the organization by WWF and the UN. What does it mean? If you buy products in retail or online in Germany, you get now a by far broader product portfolio. And the benefit of that has been that we are today doing 25% of our bookings are dynamically packaged bookings. And that is the reason why TUI Germany is doing very well, while we gained significant market share. We can increase choice and get better deals for our customers by connecting direct to flight content or to the hotelier. And this is something we are now rolling out to all the other major markets in Europe. When we look at Accommodation Only, we launched the product in Sweden is at the moment, rolled out to the other Nordic countries until the end of this month, and it will be rolled out in the U.K. till the end of this calendar year, which will offer a broad offer. We started with 15,000 hotels at the end of the year, we will have almost 100,000, and we do think that 300,000, 400,000 is a good target. We don't target 2 million because we want to make sure that everything we offer is quality approved, which fits very well to the brand. Flexibility. Flexible rates, nonrefundable rates, so broad range of rates. And of course, advanced technology. So for the customer, he or she can book as good as or even better than with our competitors. The tourist business, which we started in Belgium and by the way, also in Spain, is a fairly new market for us. It's a market which has the size of several billions in Europe, and it has never been really explored by TUI by implementing a new booking engine, which personalized multi-day tours in real-time, we can offer a product which is new for the market. So the customer can combine activities with flights with recommendations in a very personalized, seamless way. And the first days of being -- having this in the market has been very successful. And we are also rolling this out until the end of the year. We are targeting new customer segments where we have not been strong in the past, the energized adventures and travel listers, the individuals who want to package their holiday in a very individual way. [Indiscernible]. I think this is maybe the biggest game changer we will see. We started with the service app and we are now rolling it out to become a real sales app. There are markets which were more advanced like the U.K., and there were markets which were less advanced. Clearly, I want to make very clear, of course, retail is important, especially in Central Europe, and we do our utmost to support retail. And the app is very important for us because it helps us to interact with the customers very frequently. Today, the TUI customers buys every 2.5 year package customer with a broader offering. In the app, we are able to communicate on a constant basis with the customer. He has the opportunity to buy all different leisure products with us in a very easy way. And the success we do see is that we were able to increase the 3.3% share of all bookings to 4.8% in the first quarter compared to last year quarter, which is 50% more, but which have been even more important, if we now look at the latest development, the recent development, this is accelerating. And this is really a very, very good trend, as said. This helps us want to bring the new products to our customers. It helps us to communicate. And of course, it's also the very strong way to reduce distribution costs. And there is still a huge potential, which we can target as others have achieved 50% sales through the app. And if we now do this year 10% then it means that there is more to come. And therefore, we put a lot of focus in 1 app. By the way, it's the same app as the online design will also be the same to make sure that all markets will benefit from monthly releases and improvements. Sustainability, which is core of our hearts, we do see it as an opportunity. Why do we see it? First, it's the right thing to do. Second, it's what our customers want. And thirdly, in the medium term, it will also be a way to reduce costs. The targets we -- which were approved by SBTi are reduction in the hotels until '23 by 50%, 30% in the cruise arena and 25% in aircraft. These are the targets which were approved. Our ambition by the way, is significantly stronger. What is important for us is that these are not mathematically targets, but that our customers can see the improvements year-by-year, and therefore, we will report on that on a very regular basis, which hotel is carbon-free, which will be the next one. Seeing at our new head office in summer that it will be carbon-free. So we will talk a lot about this because this comes from the core of our hearts, and it's in the DNA of TUI. By the way, it's not only to reduce emission, it's also about cutting water consumptions by half. It's also a zero-plastic target and also bring local products to our customers in the destination. So it's a full scope of activity. This is only a good thing if the outlook, the numbers are right, and therefore, it's important to look at the booking situation. In the first quarter, we were above 90% of the levels of '19, well above, of course, '22-'23 with 44%. We see very strong late booking trend. And therefore, we assume that this second quarter will be similar. And with an ASP, which is roughly 8% above the '19 level, 20% above last year winter level, which covers the cost increases, if I would assume normal hedging activities. For summer, a very good momentum, the recent weeks. It started something in between '19 and '22. What we do now see is a strong acceleration, which has led us to minus 10% compared to '19. But if we look at the last 4 weeks, it increased by 30 points compared to the average we had seen before. So there is a strong momentum, which gives us a lot of confidence for the summer. By the way, if I look even further, although the volumes are small, we do see even better numbers. On the ASP. When we reported about 2%, it looks low. If we compare like-for-like, we are at 6%. The difference comes from the fact that we still had customers with discount vouchers from the pandemic time. This now comes to an end, and that is the reason why the last 4 weeks prices were up by 12% compared to '22 and 24% compared to '19. So good momentum for summer, and this fits very well into our expectations. I think when I got the questions a couple of months ago, what do you expect for summer? We were cautious saying we hope that we can come closer to '19, like we have now with minus 10% and minus 9% will achieve for winter. Maybe there is some more positive to be seen if the trend continues, but we are staying cautious. Because if you look at the weekly entries, you see there is still significant fluctuation, but the trend is right and going into the right direction. And as said, we had record bookings in January, especially in online and through the TDA, but it's very clearly that we also see a very good momentum in retail. And I can only stress again, retail is important for us, especially the margins we get from retail are very good. So there is a lot of commercial reason why we also support retail in markets where retail is strong. If we go to the holiday experience of the Hotel and Resorts, Cruise and TUI Musement business, we also see positive momentum there. Hotel & Resorts has seen a very strong winter business, first quarter above the strong quarter of the year before. And we do see that for the H2 occupancy are 7% points above last year and even 15% above winter. And this is really very much encouraging because the early bookings helped us to have stable or very strong pricing also for the remaining part. And as the daily rate is well ahead of previous year and the bookings are good, we very much see a strong performance or we expect a strong performance also for summer. What is interesting is that that's why we were asked quite often, how do you see inflation? How risky is it? First, we always say the customer segments we are in are less impacted by inflation. And second, we very much see that our customers are thinking in budgets. They have a budget. And if this budget is not enough for a long-haul business, they buy a short or medium term -- mid-haul product, and that's why Egypt or [Indiscernible] or the Canary Islands are doing very well. The recovery in cruises is moving on. Occupancy significantly higher than what we had seen before, very good is the increase in the second half in the summer season as that was getting more normal in the cruise business as well. And we anticipate that at the end of the year, we can come close to what we had seen in '19. Yes, there is still a way to go. On the other hand, the recent booking trends are very good and improving a lot. TUI Musement. On 1 hand, as said is depending on the number of customers, the TUI operator will bring to a destination but which is now a very strong focus are the own acquired customers through a white label or through the TUI Musement brand and not only in the destination, but also in the source market. We are now putting more and more product in Germany, in England into the system. So that the TUI customer can book also museum tickets, event tickets in the U.K., in Holland, in Germany, to it. So the Musement product will be part of our life, not only when we go on vacation, but also when we are at home. And this fuels a lot of new customers into the system, and it's part of the strategy to grow new customers. The big advantage we have, the customer Musement gets into the TUI ecosystem is a customer to whom we can sell all the other TUI products as well. And therefore, the commercial business case is very different and very positive. So overall, yes, we still have -- we always will have challenges, but we are optimistic. We're seeing that the strategy is working. Yes, we do see that we had some disadvantages compared to our competitors because we were only able to hedge late. But with all the measures in place, we are overcoming it, and therefore, we are positive for the shorter term for the summer and we are positive for the longer term. And now, Mathias, I would kindly ask you to give us more details on the first quarter.
Mathias Kiep: Thank you very much, Sebastian, and thank you very much, everyone, for joining this call. Good morning. So you've heard the operational development. And I think if you now look at the first quarter, this leaves me with 3 elements. One is, I think, as Sebastian said, this is a good result in a not so straightforward environment. And at the same time, secondly, this is the right result to move forward towards our targets for the full fiscal year. And thirdly, and I think this is the last thing that Sebastian presented, the last element was the quite encouraging bookings that we saw in particular for the summer. At the same time, and this is probably also fair and also fair for the winter, the volatility that we've seen in FX and fuel is still something to look at. Let me give you some details on the numbers and then also cover an update on the intended structural measures, the repayment to the WSF. Now in terms of the P&L, I think it's good to see revenues coming back to normality. I think that's the same shape that we saw in the fourth quarter. And then as you said, Sebastian, we halved the operational losses in Q1. Just to remind everyone, we always see an operational loss. And we're now in between 2019 and last year, '22, with the €150 million in this first quarter of '23. There's still a gap to '19. I think just 2 elements to mention. One is Cruise, and we already discussed in December that we expect a longer ramp-up time just because of the booking cycle for cruise compared to the record year that they had in 2019. And at the same time, there's also a performance in Canada, which sits in the Northern region, and you've probably all read about the snowstorm that was there at the end of December that has impacted their performance quite substantially. So overall, I would say the rest of the P&L is in line with our expectation. And the shape of this and also of the earnings development is a good basis for the rest of the winter, and we expect these general trends to continue also in our second quarter. In terms of bridge, let me cover this very quickly because in the end, this is within our expectation, all the segments contributed to the improvement versus last year and primarily, of course, Markets & Airlines. I think one topic to mention is here that throughout the winter also of last year, we've seen quite some one-offs. So just be reminded in the next quarter, for instance, there was quite a payment support from the German state in terms of COVID subsidies, and we've also seen a positive impact from hedge ineffectiveness last quarter '22. So that's something that will accompany us throughout the winter and all these comparisons. Cash flow and net debt. Before I go to the intended capital raise in today's AGM. I think the cash flow, again, the overall shape fully in line with our expectation. Also, the seasonality that Sebastian as you explained, we've started to pay down the hoteliers in the autumn, and this is what we result. At the same time, we have a lower revenue level in the winter compared with the summer, so a net outflow. This 1.7 would have probably improved by some amount if we had seen this very positive trading environment in January a couple of weeks earlier, maybe, let's say, the usual start during December. At the same time, the 1.7 is within our expectation and again, the rest of the cash flow as well. So also no impact on our modeling assumptions that we reconfirm compared to what we issued in December. One element to mention the interest -- the cash interest. This also includes a payment. This is the deferred element of the silent participation 1, which is included here, this further increases the interest payment compared to what we would normally expect. The rest, so the normal coupon payment fits in a separate line below cash flow and is here under coupon payment as it is a hybrid instrument. So much to cash flow, I think in terms of the resulting net debt, if we look at this also in line with our expectations. In general, more or less a direct result of the swing of the seasonality compared to last quarter, broadly in line with last year. And I think the good message is, and it's important to us, the silent participation 2 of €0.7 billion broadly that was sitting between debt and equity compared to last year that is repaid, and this is what we did last summer. So this is very good. And at the same time, it's very good to see that we now have a good plan to address the remaining silent participation 1 and the fund with warrants and drawn KFW amount. In terms of headroom, I think also to confirm that. The headroom over the winter has been within our expectations, very fine. We've also seen now with the trading environment, a quite encouraging development already in January, which is really good. And based on the balance sheet, based on the earnings, based on the headroom development, I think we are also very fine with the covenant test in March. Again, something we also mentioned in December. One element to point out before I come to the capital raise and the update there. I would like to update on 2 things, is the discussion on volume, discussion on timing is that one element of this volume discussion is how much have we drawn on KFW? And as of end of December, this was €1 billion. Now this -- and maybe now moving to the capital raise as the next step on the balance sheet. I think this is 1 element to look at what could be the potential volume for the capital raise? The second element is what we need to pay to the WSF? Again, there is a nominal value of €0.5 billion, and we need and we agreed to pay market value of these instruments minus a discount of 9.3%. As of today, this is an amount of €0.9 billion. And so this is what we can say in terms of update to volume. At the same time, I think it's also fair that we constantly monitor in terms of what could be the right volume, what could be the right target, what could be the right structure of the transaction. And it's also a bit early because there are certain steps that we still need to go through in order to be actually ready to go. And of course, investor demand, market sentiment, as you all know, this will be playing the key role. So this is probably all we can say as of today with regard to volume, and that's a question we get a lot, of course. The second question is with regard to timing. And if you look at the next steps, the most important, and Sebastian mentioned is, is the AGM as of today. We've asked our shareholders to vote on the share consolidation, so indirectly on the repayment agreement with the WSF, but we've prepared quite intensively for today. We have held quite an intense series of discussions with our shareholders. So I think we look prepared for today, and we look very much forward to the vote today, and we will update you accordingly. In terms of subsequent timing, how can then and how could the implementation of the capital raise look? I think provided that we get a positive vote, and we will see that during the course of today, whether we achieve that or not. We will then go to the court and register the capital consolidation. This can take a couple of days. This can take up to 4 weeks. And once it's registered, we will then enter with our supporting banks into a period where share fractions can be addressed. So shareholders, for instance, in particular, our retail shareholders, which have and who have then maybe 11 shares what to do with the 1 share that cannot then be divided by 10. And there will be a period where there can be a decision-making to either dispose those shares or add additional share fractions that you need in order to have a full number of shares again. And once it is implemented, then we are -- from a technical point of view, we would be in a position to go into the capital raise. We do have time until the end of December, and we can use then provided we have all this in place. We have -- we can do that in a standard capital market windows. Another condition that was out was the confirmation from the European Union that this is a structure they could support and we received this yesterday night. So again, the AGM today is probably the most important next step. Let me just add a couple of other elements, and this is more a reiteration rather than news in terms of the structure. So volume, again, as I said, there are certain elements that we look at on a constant basis. If you look at timing, again, the AGM is the next step. In terms of structure, we look at a fully underwritten structure, and this is just to reconfirm that we will -- that we are under good discussions with our banking partners on that. And then I think on the sanctioned shareholder, this is just to reiterate that sanction law is very strict, that sanctioned individual or a sanctioned entity is not allowed to participate in such rights issue. So I think that's from my side. Again, as Sebastian said, I think we had a sound quarter in a not straightforward environment. We have seen a quite encouraging booking development in the last weeks. That's a very good basis to look towards our targets for this year. And then most importantly, for today, is the AGM to vote of our shareholders on the intended structure. So thank you very much from my side, and back to you, Sebastian.
Sebastian Ebel: Thank you. Short summary from my side. We are accelerating profitable growth. We are going to improve profitability and margin, and we're very much focus on cash flow and due to what we want to achieve today and in the coming months, we want to strengthen our balance sheet and take that as a basis for the growth story we want to deliver. And by doing that, of course, we want to create shareholder value and happy partners and happy colleagues and employees. So now we could go to questions.
Operator: [Operator Instructions] The first question comes from Tilly Rollo, Morgan Stanley.
Tilly Rollo: I think it's Jamie Rollo from Morgan Stanley. Three questions, please. The first one is on, just on the pricing for the summer, obviously, 24% is an excellent number, but it is a bit below the 29% you're seeing for the winter and only up 6% year-on-year like-for-like. I'm wondering, is that sufficient to cover cost inflation. Put another way, are your summer margins higher or lower than 2019 at this stage obviously adjusting for the MAX costs in '19? And then secondly, sort of linked to that, Mathias, you talked about some of the sort of slower ramp-up in crews issues in Canada in December. I'm just wondering about any sort of spillover into Q2? When we compare the profitability or the losses in Q1 versus '19, you are clearly sort of €50 million to €70 million worse in Q1 '19 and Q1 '20, adjusting for MAX losses, should we also expect Q2 to be a bit worse than Q2 '19? And also, any views on full year consensus expectations for €940 million. Is that the significant increase that you're sort of talking about for the year? And finally, if I may, just on a separate subject, Sebastian, you were interviewed last month about whether you were open to a new major shareholder, any sort of update on talks there with a new anchor shareholder. Should we expect something? Or is it really just a normal rights issue to your existing holders?
Sebastian Ebel: Thank you, Jamie, for your 3 questions. I will take a few of them and Mathias then after. The one which I would not like to comment is on the new major shareholder. I said what I said, and I think that makes it very clear what we would like to achieve. If I look at pricing, we do see, especially in the recent weeks, a strong pattern there. The 6% would not be enough to cover the price increases, but they would be very close to it. And what we have seen in the last weeks gives us the confidence that prices have become even stronger than they had been before. And on ramp-up cruises, I think it is amazing that they are now close to what it had been in '19. It took 3, 4, 5 months longer compared to the TUI operating, but we are now there. And maybe, Mathias, you can say something about the outlook? You know that Canada is for sale that we are waiting for the TUI operating parts, not the hotel part that is staying in the group that we are waiting for the approval of the authorities. It seems to be that this is not too far away and pretty likely that the approval will come, and that would mean that the losses we have seen will be going away.
Mathias Kiep: Yes. So indeed, I think looking at the framework for the next quarter, I think that's a bit the question from you, Jamie. I think, yes, so '19 is the target. At the same time, we need to improve and would like to improve versus last year. Now in terms of cruise, I think that's -- I mentioned this as a very good example in terms of kind of the timing that we still need this year. So I think, Sebastian, you mentioned it, the trading, so the bookings on cruises, this is very encouraging, this is really strong. It's also in terms of price margin quality. At the same time, if you just look at '19, for instance, Marella, we had 6 ships in operation fully booked with all the booking cycle that you normally need the 1 year ahead. And this is just a bit of timing topic that you need to ramp up the product towards this level. And at the same time, Marella gets a new ship in the summer. It's currently at 4 ships. So there will be some change in cruises this year. But this is just an example, again, I think this corridor that we are in, and Q1 is probably a good reference for the coming months.
Tilly Rollo: And any view on the full year market expectations for €940 million underlying EBIT?
Mathias Kiep: Yes. I think it's -- we don't have a real guidance, particularly difficult to comment just ahead of the AGM. At the same time, I think in December, we said we don't feel uncomfortable with market expectations for the full year. Now it's just 1 quarter that we had. And I think we also said this is a good step into the right direction.
Operator: The next question comes from Alex Brignall, Redburn.
Alex Brignall: I'll just do one, but just an important one. In terms of summer capacity plans, could you talk about what they are, perhaps relative to 2019 in terms of just your hopes? I know you've talked about hoping to be near €29 million. And then as a sort of second part of that, can you talk about the flexibility that you have now to add or take away capacity and how that is relative to the flexibility or lack of it that you had pre-COVID? So just a little bit of a sort of operational assessment of how your capacity plans and the dynamicness of the content has evolved?
Sebastian Ebel: The capacity is around 100% with a significantly higher share of dynamic package product and the future growth. And now the question is, do we will see growth in summer this year or in the future seasons, it will be on a dynamic growth. And what we have built into the system is a lower leverage so that we are not too much if there is 10% less volume as it was before. So we are by far more flexible there. As said, the share of dynamic product in Germany is significantly higher than the U.K., but the U.K. is now catching up a lot and all what we do there, system enhancement is that we really can compete well with the best in this sector at the end of the year. So -- at the moment, we see the first, not only in Germany, but also in the U.K., strong signs of growth in the dynamic sector. With what we are doing now, it will accelerate significantly until the end of the year.
Operator: And the next question comes from Leo Carrington, Citi.
Leo Carrington: Firstly, if I might ask, can you give your exposure to ski and snow holidays? And if the pool starts, at least to the season in snow terms had much of an impact on your business? And then 2 follow-ups, please to earlier questions. Firstly, in terms of the demand building in volume terms for summer '23, the recent trends are obviously encouraging. So is it right to hope for a recovery in 2019 volumes? Or given the ASPs you have, is there a risk of demand erosion or perhaps could TUI be permanently targeting a higher spend or better mix, guess, but with a lower quantity? And then lastly, just in terms of that Q1 working capital movement and outflow. Obviously, this is important for assessing the size of the rights issue. And how do you expect that future Q1 working capital movement might be in the context of later bookings coming through?
Sebastian Ebel: The exposure on ski is small. By the way, it's not only in Crystal, but also on the hotel side. If you look at the results in the hotel side, if we would have had snow earlier, the hotel resorts would have been better because we have quite a significant hotel -- number of hotels in the Alps. But the overall impact in the U.K. is very limited. Therefore, the smaller volume has not been really a major issue. On the summer, as I said before, we were more skeptical about the volumes. I once said I would be surprised if the '19 volumes are achievable. I thought that the minus 10 we have seen for winter would have been something which we could have expected for summer. The recent trends are differently, and I hope that I'm too conservative and I have been too negative. The margin erosion risk, we don't see too much as airlift is limited -- capacity is limited. Hotel capacity in areas where customer demand is, you can recall that long haul is difficult, and therefore, people tend to stay around the Mediterranean. These are good reasons why the pricing trend is good at the moment and why it should be -- should stay good. And maybe before Mathias answers the working capital question, I just would like to add to the numbers. We had a lower order intake bookings in December and a very, very strong intake in the recent 6 weeks. And what we didn't gain in working capital in December, we have overcompensated now in January -- February. This is a good momentum. Unfortunately, it was not the 31 December, but it has been the 30 January or the 15 February, very where you see the strong positive impact we had anticipated a few weeks earlier.
Mathias Kiep: And I think there's not so much to add to that because in the end, if you look at the seasonal swing that we had in Q1, it's -- as Sebastian said, there were no particular one-offs included. There is good discipline on the asset side in terms of prepayments, et cetera. So that's something which I think is in good shape. At the same time, the good business in the summer is something that you then see on the hotel side. And now the question is, when do the prepayments from customers actually start to come in. And I think that's where we still had, let's say, an unusual first quarter and we had a lot of discussions, to be honest, I mean, a couple of months ago, whether customers would book at all. So if you think about this kind of trend that we saw in December, it was solid and now it's really good. So I think these are the elements if you want to look at what could be the working capital swing in 12 months that you need to consider. I think for us, it's a bit early to really look at this because these ingredients, how will the summer be? What will be the demand from the customer side? Will there be, let's say, a cleaner environment, all these things will be determining that.
Operator: The next question comes from Richard Clarke of Bernstein.
Richard Clarke: If I may, just the first one on the shift to dynamic packaging. Just maybe you could talk about how that changes your competitor set and your ability to be price competitive against those -- their new competitors? Obviously, [Indiscernible] used to be that you would use your balance sheet, you would use your own hotels, your own airlines and shifting away from that, are you able to compete on price with those in a dynamic packaging space? And then second question, somewhat related. We've seen in this week, we've seen Jet2s overtaken now in the U.K., it seems -- it seems like they're filling the Thomas Cook void a little bit more than new way. That used to be a plan to sort of fill that void. How important is it that you're the biggest in these markets? And the growth of some of your competitors is faster than you are? And then thirdly, just on disposals, you mentioned there that Canada has a failed -- any sense of what you could get for that used to be discussed the Marella put into some kind of joint venture at some point? Is that still part of the plan? And anything else within the business that you might plan to disclose of at some point?
Sebastian Ebel: Thank you for the questions. Maybe I would like to stress that the wholesale package is the core of our business. There is not the intention to shift this part into dynamic package. Whatever we want to do on the dynamic package is additional to the wholesale package. We very much believe in the future of a wholesale package, especially when these are differentiated products. This has always been core of our strategy and that has worked very well. And it has proven last summer, and we do see that at the moment. If I look at customer satisfaction, it's significantly higher than with other products. So the dynamic package is additionally to what we do. And by the way, dynamic package not only means dynamic flights and dynamic hotel rooms, it means also that you can combine on flights with dynamic hotel rooms or our hotel rooms with dynamic flights. And what we do see now is that with limited IT investments, we are able to be -- to stay on the same cost structure as we are, but to be as competitive or hopefully, even more competitive than towards our competitors who have grown strongly in the future. So it's additional product, and it's on the same cost and overhead structure incremental volumes. And what happens is that the -- and that's why Germany is so successful. We increased the product portfolio. So customers find products which they haven't found with us, which doesn't mean that we want to sell the hotel next to the Rio hotel, but we want to gain our market share in Paris, in Amsterdam, in Miami, so where we have not been strong. And with a TUI quality, I think that, that is one of the learnings we have. We don't want to be the broadest offer, but we want to have a very good broad offer with very good quality, that's what people expect and that's why we put so much effort in monitoring every week the quality scores. So we are very happy about the development and there is by far more to come. On the Jet2 situation, Jet2 has always had done very well filling the gap Thomas Cook left. To be the #1 is not a target in itself, but of course, with what we have with our ambition, it's very clearly that we want to be the #1, not for the sake of investing into profitability, but with a clear target to improve our profitability, and therefore, to focus on the wholesale package, but to add to it the dynamic package and to add to that the component sales will bring us in a situation where we are in a good situation to become the #1. Again, the management is very much aware of that. I mean you can imagine that with my soccer background, a draw is never a good result or sometimes it is a good result, but it's not the result you would like to see. And therefore, winning is important. The management has built a strong plan. We are executing the plan, and we are very positive about the outcome.
Richard Clarke: And then just the last question around the -- any planned disposals, what we can expect for Canada, Marella, going forward?
Sebastian Ebel: Probably on Canada, we cannot give you any indication. On Marella, we said it's -- the right time will be when the fleet renewal will take place at the moment. It will be more that we cash in the positive cash flow. It's on top of our agenda. Is it something for the next 12 month or for the next 24 month? We had slightly changed our opinion there. It's more 24 months because we think we should prove that Marella comes back to the profitability it has before, to achieve the right price, we would do it today, we would give some value away. But the target and the goal is still the same. Slightly later when we have seen the full recovery, a normal year, you may recall that the fifth ship is now getting -- coming from TUI Cruises into the Marella field. We are reduced from 6 to 4. Now we will increase from 4 to 5 again. And if we have seen a normal season with good results, then it is the right time to bring it into a joint venture because we -- or to sell it because we very much believe, for example, it would be joint venture that the 50% could be -- have a higher value than 100% with all the synergies, which can be achieved.
Operator: The next question comes from Clark Rowland (sic) [Rowland Clark], Barclays.
Sebastian Ebel: James, we cannot hear the question, unfortunately, so far.
Richard Clarke: Apologies. Can you hear me?
Sebastian Ebel: Yes. Good morning. Thank you.
Richard Clarke: So I've got 3 questions. I think you mentioned in the presentation that fuel and FX volatility is still something to look at. And I know it dragged on the Q1 profit, but could you outline as to whether that's dragging in Q2 as well and perhaps your sort of hedge position on both those at the moment? Secondly, just on working capital, Q1 had a larger outflow due to the later bookings trends in hotel payment inflation by about €300 million versus pre-COVID Q1, so do I expect that €300 million to come back in Q2 on top of the usual seasonal inflow of bookings? And then finally, on bookings trends. I just wondered if you can give any color about the strength of demand across your range of products by stars and perhaps are you seeing any customers upselling to the higher-end products? Or what are you seeing in terms of sort of package versus flight-only mix at the moment? So just any color on booking trends?
Sebastian Ebel: On the hedging, we are hedged in line with the -- for summer with the summer bookings. For the Q2, there is a likelihood that it still impacts the results as we were able to start hedging very late when the rates were not really favorable. That's unfortunate, but that's how it is for summer, we are in the by far better situation. On the trading development, we had anticipated that the length of stay customer, which increased by 1 day the last season would go away. That's something we haven't seen. And the trend into a branded product. So the upscale product is still there. So we don't see that. The only thing what we do see is when people think in budgets, they don't go so much on the long-haul, they stay more in the mid-haul sector, so -- but on all the other trends, it's very stable, and it's still significantly superior to the '19 levels. It seems to be that this is a shift, we do see. It can also be part of -- the reason can also be that our market segment, the more wealthy elderly people are less affected by inflation than, for example, families, and which may be are booking less and later.
Richard Clarke: Working capital?
Mathias Kiep: Yes. And on working capital, I think -- what we can say is, indeed, as Sebastian mentioned, January is developing better than we expected. And indeed, if that had arrived a bit earlier in December, we would have seen a lower swing. At the same time, I think you are right in this comparison, 1.4, 1.7 in working capital '19 against '23, I think there's also a part of inflation included. So there's probably some gap between the years to stay. But I think in summary, Q2, we would expect the same kind of positive gap develop at least as a trend versus '19. But let's see. Again, it's -- we've seen quite some encouraging weeks and Sebastian nodded when we heard your question, and we need at the same time to be a bit cautious, I guess, on the development.
Sebastian Ebel: I would not -- Mathias would be by far more cautious, let's see.
Mathias Kiep: So thank you very much.
Operator: The next question comes from Christian Nedelcu, UBS.
Christian Nedelcu: The first one on Mein Schiff price per night, I think it's below '19 levels in Q1. If you can elaborate if that's due to higher competition? And how you expect that to evolve over the next quarters? So the second one, cash [Indiscernible] has gone up, I think, is around €640 million.
Sebastian Ebel: Sorry, we couldn't hear the first part of the first question.
Christian Nedelcu: Of the second question, sorry.
Sebastian Ebel: No, about the first question. So you were comparing something...
Christian Nedelcu: Apologies. Mein Schiff price per night?
Sebastian Ebel: Mein Schiff, the cruise.
Christian Nedelcu: Yes, Yes. [Indiscernible] JV price per night.
Sebastian Ebel: Yes. Thank you. Sorry. Okay.
Christian Nedelcu: The second one [Indiscernible] cash has gone up to €640 million, is this supposed to go up even further? So with restricted cash go up even more next summer as volumes pick up? If you can give us a bit of a steer on the numbers there? And the last one on [Indiscernible] I think the revenues are around €200 million in Q1. It used to be €300 million in Q1 pre-COVID, you can elaborate on the differential and the evolution going forward?
Sebastian Ebel: The first question is easy to answer. It's depending on the route mixture and the cabin mixtures. Overall, it's -- if you come to a view on margin it's positive. On Musement, I must admit -- maybe we had some disposal, but I don't know I must clearly say.
Mathias Kiep: Yes. I think indeed, there's also some impact from the ramp-up in terms of the customer take up. It's still a bit below what was at the peak season. At the same time, it's €100 million [Indiscernible].
Sebastian Ebel: We had sold some smaller activities in the crisis, but that is probably the -- we can look into it. But I mean, it just can be -- I mean we sold some activities and we closed some activities, and that is probably the reason for that. But we will look it up because all the profit driving sales are good.
Mathias Kiep: Exactly. So this is all within our expectation, as you said, and...
Sebastian Ebel: We closed India, we closed Brazil. So maybe this is -- but we have to look it up.
Mathias Kiep: Right. It's not like a structural change that you see in the business, on the contrary. And then on restricted cash, I think this is something we still see going up and down a bit from quarter-to-quarter. It depends also depending on how we then do in a specific market, what we apply for in terms of licenses. At the same time, it's also with regard to our partners and on the financing side, do we get it straight into guarantee or do we do it with the collateral, et cetera. I think this is something that will still have some volatility until over the coming months and to do the capital raise is probably one of the elements to further stabilize the positions there and also to further improve this going forward.
Sebastian Ebel: Yes. I think with the capital measure, we'll have a significant impact on that.
Operator: As there are no further questions, I would like to hand back to you, Mr. Ebel, Mr. Kiep for some closing remarks.
Sebastian Ebel: Thank you very much. Thank you for the questions. Thank you for your comments. We are confident looking forward, not only when we look at bookings, looking at our cost position, but looking at the execution of our strategic initiatives. And we are positive on the decisions of today if there is a positive decision. And if the capital increase has happened. We have a very solid foundation for future growth of TUI for paying back to the shareholders. And I'm not talking about dividends, but paying back the trust we received during the crisis by a good development with a very good development of 2 years. It's hard work. There are things which are -- which we have to overcome, and we have a good team, and we are very confident that we move forward so that we can convince shareholders, customers and have fun while working. Thank you very much.